Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:03 Greetings, and welcome to the Engine Gaming and Media Fourth Quarter and Fiscal Year End Conference Call. [Operator Instructions] And please note that this conference is being recorded. 00:20 Before we begin, I would like to caution listeners that comments made by management during this call may include forward-looking statements within the meaning of applicable securities laws. These statements involve material risks and uncertainties and actual results could differ from those projected in any forward-looking statement due to numerous factors. 00:39 For a description of these risks and uncertainties, please see Engine’s Annual Financial Statements and MD&A, its fiscal year ended August thirty one of twenty twenty one, available on SEDAR and EDGAR. Important qualifications regarding forward-looking statements are also contained in Engine’s earnings release, distributed earlier this afternoon and also available on SEDAR and EDGAR. 01:03 Furthermore, the content of this conference call contains time sensitive information accurate as only as of today November twenty three, twenty twenty one and Engine undertakes no obligation to revise or otherwise update any statements to reflect events or circumstances after the date of this call. 01:23 I would now like to turn the conference over to Mr. Lou Schwartz, Chief Executive Officer and Tom Rogers, Executive Chairman of Engine Gaming and Media. Please go ahead.
Lou Schwartz: 01:35 Thank you, and good afternoon, everyone in attendance. I’m Lou Schwartz, CEO of Engine Gaming and Media. Thank you for joining us for our fourth quarter earnings call. I have here with me our Executive Chairman, Tom Rogers. 01:50 As you can see from our third -- fourth quarter and full fiscal year twenty twenty one earnings release and corresponding investor presentation, which is available on the IR section of our website. We are pleased with the continued progress we have made in building an integrated gaming and media company with complementary assets that drive highly differentiated audience experiences. We have been investing into the future of Engine’s portfolio and proceed continued growth across both our gaming and media business units in fiscal year twenty twenty two and beyond. 02:27 Our revenue growth for the fourth quarter and the trajectory of revenue growth since the beginning of the fiscal year were real standout in our results. With the combined media and gaming sides of our business, we saw total revenue for the full fiscal year of thirty seven point two million dollars, up from ten point five million dollars in the previous fiscal year and revenue of eleven point eight million dollars in the fourth and final quarter of the fiscal period, an increase of sixty seven percent over the same quarter in the previous year and twenty two percent higher than the sequential third quarter of this fiscal year. 03:07 Our subscription software or SaaS revenues grew to six point four million dollars for fiscal year twenty twenty one, up from two point six million dollars from the previous year and two million dollars for the fourth quarter alone, twenty eight percent higher than the third quarter of this year. Advertising revenue for fiscal year twenty twenty one was twenty six point seven million dollars and eight point eight million dollars for the fourth quarter. This is one hundred and sixty three percent better than the same Q4 of twenty twenty of three point three million dollars and a thirty seven percent sequential increase compared to the previous six point four million dollars in third quarter of twenty twenty one. 03:48 Moreover, CPMs for ad sold were up thirty six percent and RPMs were also up fifty two percent year-over-year. This resulted from our sales team's aggressive strategy of trading lower yielding programmatic field demand for premium advertising partners and platforms, including the Trade Desk to which frankly gained access over the past year. 04:11 For the full year game development revenues were four point seven million dollars when including one point three million dollars of deferred revenue, an increase of seventy two percent over the previous year on an apples-to-apples basis. 04:25 Net loss amounted to forty point seven million dollars for fiscal year twenty twenty one as compared to net loss of thirty two point three million dollars for fiscal year twenty twenty. Net loss amounted to thirteen point five million dollars for Q4 twenty twenty one, as compared to net loss of ten million dollars for Q4 twenty twenty. 04:44 Net loss for fiscal year twenty twenty one and Q4 twenty twenty one included eight point five million dollars and eight point one million dollars in non-cash expense, respectively, the most notable of such non-cash expense items include six point five million dollars stock settlement reserve, six million dollars in fair value adjustment on convertible debts and three point nine million dollars of goodwill impairments. You may also refer to the detailed schedule in our earnings release. 05:17 As of the end of the fiscal year, we had fifteen point three million dollars in cash on the balance sheet and another eight point six million dollars in receivables. In addition to growing top line revenue, we are managing operational expenses, including our litigation expense with an eye toward cash conservation. At the same time, we are weighing various opportunities to add cash to the balance sheet such as the announced process to explore strategic alternatives for Eden games that would yield substantial cash for Engine. 05:49 Our outstanding debt that requires cash interest payments is now only six point seven million dollars in principal value. In addition, balance sheet liabilities have dropped to forty one point nine million dollars from the third quarter of fifty point nine million dollars primarily due to further adjustments in our warrant liability. The unique sports and esports gaming experiences we provide are supported by our other businesses, which encompass advertising, influencer marketing data and analytics and IP, significant progress was made in a number of key areas of the business. 06:25 In the Stream Hatchet/Sideqik business, in addition to Stream Hatchet expanding its partnership with numerous top game publishers such as Activision and Tencent, Engine successfully acquired influencer marketing innovator Sideqik in the fourth quarter, enabling a three hundred and sixty-degree measurement, analysis, and activation of influencer marketing programs across both live-streaming channels and social media platforms. 6:54 For Frankly Media, we continued to sign sports, esports and lifestyle digital publishers to our advertising network such as VSiN and Esports.gg, and renewed our largest advertising client, Newsweek. Additionally, the team has continued to drive digital advertising revenues by exceeding a number of internal benchmarks. 07:17 For WinView, we released a major product update enabling users to enter numerous contests before and during a live sporting event providing significantly more opportunities for users to play. We encourage our shareholders to download and play WinView on our iOS and Android mobile apps. 07:38 For UMG Gaming, we renewed our partnership with Microsoft's Gears Esports, as well as resigning Logitech's Astro Gaming and adding Logitech's Blue Microphone as major sponsors. Over the last year, UMG also advanced its relationship with a number of key esports industry players having administered and broadcast events with Riot Games, EA, Epic Games, and the twenty twenty one Call of Duty League Champions, Atlanta Faze. 08:08 For Eden Games, after reaching the milestone of one million units sold of the Gear Club franchise on Nintendo Switch, Eden Games and publisher partner Microids announced they will release the hit game on Play Station five and Xbox Series X, as well as partner on a new racing game leveraging the IP of The Smurfs' animated characters. We are excited for the opportunities to stand before us and remain confident in the growth potential that will stem from the investments we have made and we'll continue to make into our core businesses. 08:43 To speak further on the overall strategy of our business, I would like to pass it off to our Executive Chairman, Tom Rogers. Tom?
Tom Rogers: 08:52 Thank you, Lou and hello to everyone joining us today. I’m Tom Roger, Executive Chairman of Engine Gaming and Media. And I'm excited to be here with you all to share some further updates on the future of our company. As Lou mentioned, we are positioned for substantial growth in both our gaming and media division. And this potential is reflected in our recent change in name to Engine Gaming and Media. 09:23 In renaming the company, Engine Gaming and Media, the company's name now reflects the two broad areas, the company's units engage you. Engine’s WinView, UMG, Stream Hatchet and Eden units all contribute heavily to the gaming elements of our company with Frankly, Sideqik and other elements of Stream Hatchet providing key advertising, data, analytics and influencer marketing capabilities that complement our gaming units. 09:57 Starting with first quarter financials, beyond the top line revenue breakout we are currently giving, we plan to provide breakouts on gaming and media performance of the company to provide more transparency in our business going forward. We continue to grow the business. We will -- as we continue to grow the business, we will apply significant discipline to our cash expenditures to slow or defer investments in certain businesses in order to manage our cash appropriately while continuing to drive key areas of the company aggressively forward. 10:37 Taking a step back, we are a company only slightly over a year old. We have done a lot to integrate the company, selling off less productive units, creating shared services across the company, and minimizing corporate overhead in terms of personnel to preserve as much firepower to invest in our six business units. We have uplisted to NASDAQ. We have initiated activities to protect our intellectual property. We have put together an especially talented management team and a seasoned very well-respected Board of Directors. 11:19 We have developed trusted relations across a wide spectrum of gaming, media and sponsorships that include Microsoft, Electronic Arts, Microids, Logitech, Riot Games, Activision Blizzard, Tencent, Take-Two, Facebook, YouTube, United Talent, Corsair, FaZe Clan, Universal Music, HYPERACT, Warnermedia, Fox and Newsweek. We are continuing to mold our group of businesses together by the themes of social gaming and social marketing. Two macro trends, which have enormous tailwind. 12:00 Moreover, we are highly mindful of driving these businesses in a way that is differentiated so that they not only ride highly investable trends, but do so in a way that investors can understand how Engine’s businesses have enhanced prospects because of the unique ground they trade. 12:25 We have put all that in place with a very experienced management team that came together in the midst of COVID, barely having any opportunity to work face-to-face yet in our first year as Lou related, we increased revenue by sixty seven percent Q4 twenty twenty to Q4 twenty twenty one. We have a long way to go and plenty of running room ahead. 12:54 You may ask yourself against this backdrop, why our stock price is down so dramatically since up listing to NASDAQ? I wish I had a good explanation for that. Especially given that the progress and our advancements along the way have been so positive, much of the decline of the stock seems to be in line with how most small cap gaming stocks have fared over the last six months. 13:24 However, whatever the reason for the stock value decline we've suffered, we believe that given the multiple paths that Engine has to value creation, many more than the peers to which we are often compare, we will be able to keep our focus on building out these businesses and demonstrating to investors that game truly has game. 13:50 Thank you all for listening to our presentation. We will now go to Q&A. Operator?
Operator: 13:58 Thank you. Our first question comes from -- I’m sorry, our first question comes from the line of Michael Kupinski with Noble Capital Markets. You may proceed with your question.
Michael Kupinski: 14:13 Thank you. And first of all, congratulations on your quarter. It exceeded my expectations. That's always a good thing. A couple of quick questions here. I was wondering, can you give us any color of the possible sale of Eden Games, where are you at in the process? I have a few other questions here as well.
Lou Schwartz: 14:33 On Eden Games, we have initiated a process with Boutique bank Progress Partners that is helping us evaluate the potential for various strategic relationships that might, not only benefit the growth of Eden, but would substantially allow us to take in the cash for a strategic partner of Eden. We are in the process of putting together all the information necessary for both inbound interest that has been expressed as well as a number of others that we believe would be interested in some kind of strategic opportunity for us with Eden. We consider it a very substantial opportunity in terms of raising non-dilutive cash for the company.
Michael Kupinski: 15:39 Great. Thanks for that color. I know that the company has an expensive patent portfolio and I was wondering if you can give us an update on the patent suits against DraftKings and FanDuel?
Lou Schwartz: 15:53 Sure. A little background here first probably would be useful, WinView which is a subsidiary of Engine owns over eighty U.S. patents, many of which relates to online gaming. In July of this year, WinView filed a separate patent infringement lawsuit against both DraftKings and FanDuel. We filed those in United States for the District of New Jersey related both to their sports book businesses and their daily fantasy businesses. We alleged that DraftKings and FanDuel infringe four of WinView’s patents, I won't name all the patents now. One relates to methodology for equalizing systemic latencies. One relates to method of conducting multiple contests to scale with a single performance. 17:00 And the recent status of the lawsuits are that FanDuel filed a partial motion to dismiss as to two of the four patent claims that were alleged in our complaint and we've responded to that and the motion is currently pending. DraftKings filed a motion to dismiss WinView’s complain, which was withdrawn without prejudice after WinView filed an amended complaint. There's really, little I can say at this early stage of the litigation, except to say that while potential damages may be significant if these lawsuits are wholly or even partially successful. At this time, we can't predict the outcome of the suits or determine the extent of potential damages. So, we're in early stage right now.
Michael Kupinski: 18:05 Thanks for that. And I know that you have multiple business units and to some they may seem desperate. I was just wondering if you can just outline or investors, again, the central theme that leads through the multiple units the company and that provides the basis for unifying and integrating the company. I’m just wondering if you could just add a little bit more color and explain that.
Lou Schwartz: 18:32 Sure. Important question. If I was really going to go to the heart of the theme that really unites the business. I would stress one word social. We put together social gaming. We focus on social marketing, particularly new focus on social commerce and even social as a means of enhancing other revenue streams to the company. We create experiences, which are all about people engaging in the social context. We measure social activity. We provide way for clients to activate against social communities and really whether you're looking at the gaming side or the media side of the business, social is really that theme that views all the way through. 19:30 Just to give you a little more color on that as it relates to each of the units, when it's WinView it’s a game that is about friends or family or fan bases playing against each other. It's not us against the hats. UMG gaming, it's a way for players to have pickup games, buddies playing against each other or for that matter teams playing against each other. And a way that within that play, you can become a better player or become more recognized in the broader gaming community. 20:08 Eden games or Motorsports, studio game development unit is really about driving enthusiast passions among car reaching fans, and we are working on many ways to make that even more socially engaging than the kind of gaming competition that it has created today. Stream Hatchet, which is our esports measurement and analytics service is really all about, measuring the esports communities that gather on these live streaming platforms and determining what really has the most traction the most social traction where is the pulse of the global gaming community. 21:06 Sideqik which is our social media platform, influencer, analytics business, it's really about providing a basis for brands to activate within the social conversation that’s taking place within these communities so that they can gain greater awareness and residents up their brands and even Frankly Media, which is our programmatic advertising unit. We are looking for ways that our underlying clients can use contest and competitions to create greater community and with that new revenue streams and enhance revenue streams, so social run through everything.
Michael Kupinski: 21:53 Thanks, Lou. And I have one more question. You obviously have a number of multiple business units and each one has a very large market opportunity. I’m just wondering if you can just remind us what do you view as the key macro trends to drive Engine’s growth?
Tom Rogers: 22:17 By the way, this is Tom. Sorry. I didn't indicate that when I took your first question.
Michael Kupinski: 22:24 Sorry. Go ahead Tom.
Tom Rogers: 22:31 Yeah. There are a number of trends here. And I think that’s what we think makes for a very exciting company. We don't ride a single trend. I think we ride multiple trends. We ride trends in the area of sports television, both their viewership issues and their subscription fee issue. Just like with esports, we ride major trends in their viewership issues and their fee issues. They're kind of near images of each other sports viewership with the exception really of the NFL is overall declining and particularly declining hard among young males. 23:22 The subscription fee side cable and satellite fees to sports media are declining very rapidly as cord cutting and other factors weigh-in. With esports, viewership is expanding and expanding significantly. I think one of the misnomers about what's going on in the entire gaming arena has been the notion that coming out of the pandemic esports play, particularly on the live streaming platforms who is going to decline. Well instead what we have seen is total hours actually have increased really substantially. Stream Hatchet measures this stuff and year-to-date in twenty twenty, there were about twenty billion hours of viewing across the live streaming platform. Year-to-date in twenty one, that's up to twenty six billion dollars almost a thirty percent increase in viewing. 24:28 Yet, on the fee side of esports, it's not that they are increasing or declining, there really isn't much fee development at all monetizing direct-to-consumer in some way, the viewership that esports has garnered. And so that is as clearly something that we think is able to be dealt with in a way that we can make a real contribution. How do you monetize with fees that esports viewership? So, both of those go to the experiences that we're creating to attract, now junk mail viewers in particular. 25:11 Then you get to the issue of how do you target and monetize that audience in novel ways that we think are also key trends that we ride. When it comes to the issue of monetizing targeting that younger audience, influencer marketing is a massive macro trend that year-over-year is up over thirty percent in spend and really hasn't even begun to really hit its stride as the additional trend of social commerce increasingly influencers is not simply being used as a way to get brands part of our conversation, get them greater awareness, but actually be a way that people transact and buy and we are seeing four percent to five percent CAGR growth coming out of social commerce quarter-over-quarter, which is up year-over-year that we saw in the second quarter up over twenty five percent. So, another major trend that we ride there. 26:36 And of course the programmatic advertising trend probably the fastest growing of the digital advertising elements. And when you combine that with the esports fewer trend, and where we're trying to monetize advertising taking on esports content sites, so you get the Nexus of where programmatic advertising needs esports. We think a combined trend there that we ride. So, we look at the landscape of creating experiences for that young male viewer and finding ways to target and market to younger audiences and they both comprise multiple trends that we think were smack in the middle of.
Michael Kupinski: 27:20 Thanks for that Tom. And I will recognize your voice next time. But that's all I have. Happy Thanksgiving.
Tom Rogers: 27:28 Thank you. Thanks very much.
Operator: 27:32 Our next question comes from the line of Jason Tilchen with Canaccord. You may proceed with your question.
Jason Tilchen: 27:40 Hey, Lou and Tom. Congrats on the strong results and thanks for taking the question. First one for me, when you look across the platform, what do you think are some of the specific differentiated approaches that you're taken and maybe particularly on the media side of the business that have positioned you guys to take advantage of some of these secular tailwinds you've mentioned during the call so far?
Tom Rogers: 28:06 Thanks for the question. I think the broadest answer I give to that is that it's not enough to ride macro trends. You got to be able to demonstrate you have operating businesses, which can be recognized as relevant. And in our mind, that means unique and differentiated, so they can make their mark in a way that you are giving investors an opportunity to put money against ways to ride those trends which gives you standout opportunities to create growth. 28:50 I think across our businesses, we really try to pound out how that differentiation can be recognized. When it comes to WinView, the notion of people watching and being able to play alone in a social context. We think the heart of sports television was always very different than watching new user sports. There was always that component of fathers and sons are watching together, buddies watching together. And the crosstalk about what's going on in the game and what social gaming has shown us is that what people really enjoy is social interaction. 29:37 Well, gambling has become a big deal in the sports arena, of course, and mobile gaming at that, but that's really odds against the house. It's really and its hard is not about viewers, fans, friends, family being able to play against each other. And so really focusing on how we can bring that social experience to sports viewing is a key differentiation. How we can fan the passions of the fan base is another key element there. By being able to create unique competitions between fan basis, I think fraternities playing against each other on college campuses as their colleges engage in football or basketball games. 30:29 Think about being able to ask differentiated questions in a game where mix may be play in lakers as I think they are tonight, being able to ask questions differently to the next phase versus both laker space because they're each honed in and focusing on different things that are more significant to them as fans of those teams. And the gambling space is enormously crowded, and we think being able to differentiate ourselves as an operating business doing what we're doing is one key way. While at the same time, offering people an opportunity to participate in yet a different way in sports gambling through our patent portfolio, which I talked about earlier. 31:23 Similarly in UMG Gaming, our differentiation, again, social competition pickup games being able to be able to play for cash against friends when you're looking for esports competition, but we also differentiate ourselves for the big game publishers a Microsoft. Some people up -- companies out there provide laddering or tournament administration, some provides broadcasting or distribution capability. We do all those things. And so, we provide a suite to nuts end-to-end opportunity which we think is really differentiating as a way to capture the marquee events. 32:09 And we also think what we can do in esports where, again, it's an industry today, which is totally been developed both with advertising and sponsorship. We think by bringing the WinView viewer play and competition to the party where you are creating direct-to-consumer cash entry fees for the viewers, of which are hundreds of millions around the globe on the esports side, something that has not yet been developed is highly differentiating in terms of our contribution to the model. 32:46 When it comes to Stream Hatchet and Sideqik, what we do as Lou indicated in his remarks, we provide a three hundred and sixty-degree view of influencers not just influencers on the live streaming platforms, not just influencers in the social media world, but at deep analytics across influencers on all those various ways that influencers engage, and we don't just provide an opportunity for the gaming industry to look at the influencer world, but as well brands and agencies. So multiple ways that we differentiate and we differentiate because we cover not only the U.S. platforms of twitch, Facebook gaming, YouTube gaming, but we had coverage of many of the agent platforms. And we are freely differentiated because of the granularity of our data far more granular, than you'll find elsewhere. 33:43 When it comes to Eden Games, I think that we -- beyond it being a hidden jewel in the company, which I talked about it at first as a way for us to extract some significant value. It not only produces for the console Playstation and Xbox, as well as the PC, but it is considered a top-notch mobile game publisher. Studio that does all that different highly regarded and it also has dual ability to drive revenue streams. It's not just available to do work on behalf of other major publishers, but it also who develops its own IP and in that sense is able to drive revenue coming in multiple ways, which is also distinguishing. So, I think we differentiator ourselves quite significantly across all of our business lines. Sorry, that took me a little time to get out, but something we really want to pound home.
Jason Tilchen: 34:49 Absolutely. And just a follow-up on that. There's a lot of interesting things that clearly as you discussed on across the portfolio, if you were to pick out maybe two or three key drivers of revenue growth as we look towards fiscal twenty two. What would you say those would be?
Tom Rogers: 35:04 Lou, I'll let you, why don't you do that one?
Lou Schwartz: 35:07 Okay. Thanks, Jason. So, our formula for continuing significant revenue growth really begins with our top line growth across the business units. Our latest fourth quarter revenues were eleven point eight million dollars representing sixty seven percent growth over the same period in twenty twenty and also is fifty seven percent better than the seven point five million dollars we did in our first fiscal quarter, which is seasonally our strongest period of the year. Additionally, we believe in investing in our products and driving greater differentiation through our B2B and B2C segments will result in higher levels of growth, market adoption and improved margins across the businesses. 35:51 For our B2C businesses, including WinView, UMG and Eden Games, we continue to deliver unique social gaming experiences that will make it easier for individuals to compete against one another, whether that's their favourite video game, sporting event or even a multiplayer mobile race game. There are billions of dollars of invested capital behind the sports and esports content being produced today, and we are uniquely positioned to leverage that invested capital and overlay our social experiences to drive deeper audience engagement and monetization. 36:27 For our B2B subscription software and data services, we continue to provide deeper insights and targeting in a calculus world that enables publishers, brands, merchants and performance marketers of the ability to target audiences. Today, we sit in a very unique position in the creator economy but not only enabling discovery and connection of influencers, but we also provide the measurement and facilitation of payments to such influencers in an end-to-end social e-commerce platform or pipeline. 37:01 At the same time, we continue to look for opportunities to partner with bigger companies or acquire compatible businesses that support our underlying products and growth themes at very attractive multiples. And I believe our growth strategy is already beginning to pay off. SaaS revenue from fiscal year twenty one grew to six point four million dollars from two point four million dollars in fiscal year twenty or one hundred and forty seven percent and typical revenue multiples for SaaS companies can range from six to twelve times of revenue. We continue to grow our SaaS revenues by twenty eight percent compared to previous Q3. 37:38 Our growth margins on businesses -- business units outside of advertisements are high at scale and we continue to emphasize growth in higher contribution margin lines of businesses. And unlike other single solution providers as Tom stated, Engine has multiple paths to value creation, including sports gaming, esports viewership, influencer marketing and monetization, programmatic advertising, data, and IT licensing and that's it.
Jason Tilchen: 38:13 Great. Thanks a lot for the detailed answers there and have a nice holiday weekend.
Tom Rogers: 38:18 Thanks, Jason.
Operator: 38:24 Thank you.
Lou Schwartz: 38:24 Operator, I'll turn it back to you.
Operator: 38:27 Thank you. At this time, there are no more analysts in the queue, and I will now turn the call back over to Lou for any closing remarks.
Lou Schwartz: 38:35 Thank you everyone for joining today. We look forward to continuing the dialogue and updating you on our progress ahead. Have a great holiday weekend.
Operator: 38:44 This concludes today's conference. You may now disconnect your lines at this time. Thank you for your participation and have a great day.